Operator: Good morning, ladies and gentlemen, and welcome to the UVE First Quarter 2021 Earnings Conference Call.  I would now like to turn the conference over to Rob Luther, Vice President of Corporate Strategy and Investor Relations. Sir, you may begin.
Rob Luther: Thank you, and good morning, everyone. Welcome to our discussion on our first quarter 2021 earnings results, which we reported yesterday. On the call with me today is Steve Donaghy, Chief Executive Officer; and Frank Wilcox, Chief Financial Officer. Before we begin, please note today's discussion may contain forward-looking statements and non-GAAP financial measures. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements.
Steve Donaghy: Thank you, Rob, and good morning, everyone. Thank you for joining us today. We are off to a strong start to 2021, with solid first quarter results. Including, close to 12% top line growth, margin expansion in excess of 200 basis points, and a total annualized return on average equity of 23.2%. We continue to make progress on our reinsurance program renewal and were oversubscribed on our first cat bond in March at rates below the low end of our initial range. We have now completed procurement of our Allstate's first event reinsurance program for UPCIC for the 2021 wind season, and we'll have additional details in May as we finalize the remaining pieces of our risk management strategies for our insurance company subsidiaries. In addition, we were encouraged earlier this month when the Florida Senate passed Bill 76, which would enable Floridians to have reliable access to property insurance. For a number of years, Florida has been a significant outlier compared to the rest of the country when it comes to litigated property claims, which has put significant pressure on the Florida property insurance marketplace. We have not been immune to these market dynamics. And during the first quarter, we actively reduced our policies in force sequentially and reduced new and renewal policy counts in aggregate this quarter when compared to the first quarter of 2020. That being said, we continue to monitor closely the companion bill in the House, House Bill 305, which has differences from the Senate Bill 76.We look forward to continue to make positive strides throughout 2021 and should have additional details on our reinsurance program renewals in the next several weeks. So with that, let me now turn it over to Frank to walk through our financial results. Frank?
Frank Wilcox: Thank you, Steve, and good morning, everyone. As a reminder, discussions today on adjusted operating income and adjusted EPS are on a non-GAAP basis and exclude effects from unrealized and realized gains and losses on investments and extraordinary reinstatement premiums and related commissions. Adjusted operating income also excludes interest expense. We ended the first quarter with total revenue up 11.7% to $262.
Operator:  We have a question on the line from Mr. Tom Shimp with Piper Sandler.
Tom Shimp: Can you guys give me some more of your thoughts on the bills bring to the state legislature? So if insurers got the most favorable aspects of the bills being contemplated. How do you think about the potential benefit to your litigation trends?
Steve Donaghy: Tom, that's a question that is burning throughout the state currently. And as you can imagine, there's tremendous change currently occurring. House Bill 76 that was passed by the Senate was seen as quite favorable. There was a lot of good policy in the bill, 2-year limitation on supplemental reported claims on a catastrophe, policyholders, written notice within prior -- 60 days prior to pursuing litigation; attorney fees, which is really the symptom of the illness currently, there was good language in there. And I think we find ourselves now, where the House is weighing in on those topics and additional topics. The House is contemplating those issues along with trying to assist citizens of becoming rate adequate. And the session closes tomorrow. So I would also say that I feel as though the department has done a balanced job of trying to represent the industry and Floridians with several items that they've published to the House and to the Senate. So I think the information is there. The information is flowing. There are 2 strong sides. There's Floridians in the insurance business. There's lawyers. And hopefully, tomorrow, we'll get a favorable legislation that will improve and enable carriers to begin writing and helping out Florida residents.
Tom Shimp: Staying on the insurance regulators. Last year, there were some headlines that the board of regulators were examining the fees between the insurers and the corporate affiliates. Do we have an update on that, or can we just still view that as just ongoing discussions, typical discussions?
Steve Donaghy: Yes. Tom, I think it's a misnomer to feel as though the Department of Insurance is not intimately aware, at least with Universal of our relationship between subsidiaries and the parent, the fees that are charged, how they relate to market. So sometimes that sounds like they don't do it, but they do -- at least with us, they are -- they do a very good job of understanding the relationship. And we have to file changes to the agreements between the subsidiaries and the parents; if we have any changes. So there is language in the House bill that continues that.
Frank Wilcox: Yes. I would just add on to that, but there are multiple instances where they do evaluate and examine those fees. And as Steve pointed out, they have every opportunity to review and object to the fee structure within the agreements, and we've not heard anything from them as to their dissatisfaction.
Tom Shimp: And then moving to PIF, I was just hoping you could just talk about that a little bit more. Florida PIF went down, and I understand that comes out of the struggles in Florida in trying to shed some of those costly policies. But outside of Florida, that was also down too. So can you just give me your updated thoughts on how you're thinking about growth outside of Florida?
Steve Donaghy: Well, we -- the growth outside of Florida, we've taken numerous measures in the past several years relative to becoming more rate adequate. The reduction in out of state is not -- is very, very nominal at this point. And we see a lot of upside in the future because we've recently seen some competitors take rate in some states we do quite well in. So we might have been a little bit ahead of the market, but we're sitting in a good position. And our desire for rate adequacy is paramount to growth. So we rather slow growth and have profits than vice versa. So we feel good about where we're at. And we also feel it's very important that as we share data with our reinsurance partners, they expect us to perform at the levels we submit to them. And we feel like we're right in line with what we communicated to that market. And it's important that you do what you say you're going to do, and that's a piece of the equation for 2021.
Tom Shimp: And then I was hoping we could talk about reserves, just reserve development. It looked like on a net basis, it was a favorable development, but on a direct basis there was some unfavorable development. Can we just have more color on that? And what were the moving parts?
Frank Wilcox: Yes. So this is Frank, Tom. Sally developed by $92 million on a gross basis. But because of the way that our reinsurance programs operate and coordinate -- and just as a reminder, we have a program for our states, and then we have a completely separate program for other states to the extent that the other states program exceeds the retention of $15 million on that, that would come back to reduce our losses. And that's what we realized on a net basis for Sally.
Tom Shimp: Was there any other development from any other storms besides Sally?
Steve Donaghy: Yes. There was no other development on a gross basis. With the losses that we see to the cat fund, they are subject to estimates, and we re-estimated the amounts that would be under the contractual arrangements would be ceded to the cat funds. That's a $3.8 million adjustment offsetting the $5 million, and there's your $1.2 million net favorable. And that was on Irma, I'm sorry.
Tom Shimp: And then at the start of the second quarter, I think earlier this month, there was a weekend there where the Panhandle and the rest of Florida had a line of severe storms that I saw in the headlines. Is there anything you can tell us in regards to how you're thinking about losses from that? Is it material, or did the headlines I see make too much of it.
Steve Donaghy: Tom, we track each one. There was a PCS event that was identified for that. We've got under 500 claims that were called in, and we have under 100 open right now. So we feel as though we've got that fairly well in hand. And as you know, we have some room in our plan for weather each quarter. So, at this point, we don't see any reason to kind of pull any alarms, but we're tracking it closely. The claims team is all over it. And fortunately, we were able to handle a majority of those claims with internal associates. So outer adjusting continues to provide benefit to the parent in that regard.
Tom Shimp: And then in general, I was just hoping we could just get a high-level update on how you're viewing your loss picks. You've been increasing them the past few years and has there been any changes as of late? Any trends that have in the past quarter or 2 have made you rethink your loss picks? Any update there?
Steve Donaghy: Tom, we go -- at the end of 2019, we implemented controls that benefited the company last year as we put monies up throughout the year when we saw the need, Q2, Q3 and Q4, of course. As we went through those controls at the end of Q1 with Frank and our actuaries, we saw the benefit of the loss pick this year benefiting from the rate increases that are flowing through our book in Florida and other states. So the 40% in 2021 for our loss pick compared to the 40% in 2020. The 40% in 2021 is a dynamically higher amount of money put up for reserves. So we see it, we feel good at the end of Q1, the weather cooperated, and we don't have a crystal ball, but if that trend continues, we feel very good about the rest of the year.
Tom Shimp: And then lastly, I was hoping we could just -- you guys could give us some strategic updates. You've announced partnerships with Verisk and you have the direct business in Clovered. And I was just hoping we can get an update on how management is viewing their progress and for their potential, and if there's any other strategic initiatives that the management team is focusing on into 2021.
Steve Donaghy: Yes. Tom, we continue to focus on our capital management. Frank and his team have done a good job of ensuring that we track the levers and understand our capital position and ensure that just like 2020 that the subsidiaries feed the parent in a fashion that we can take care of our insurance subsidiaries. Clovered, like the rest of the agency force in the state of Florida, they are focused on growing their business in a non-home market. Citizens is really one of the few carriers open. They're not a preferred carrier to write with because they're -- it's not as easy as others, and the commission is pretty low for the right reason. So we find ourselves cross-selling quite a bit. So we're writing a lot more auto. We're writing umbrellas. The benefit to Clovered is they're behaving more and more like a true agency. So, we feel good about that. They're approaching $40 million in written premium. So we're getting to a point where we may be able to segregate that business more deeply and track it at a P&L level and type of things. So we can show that to yourself and others. But then we continue to invest in that business, and we feel good about it. I think from a growth perspective, we will continue to enter additional states either at Universal or American Platinum. And we've been focusing on insurance score products in other states, which is somewhat unique for us and how we kind of approach the future. So I think there's a lot of very positive things that are occurring at the company. Our underwriting team as well as has -- since there's less business coming in, we've gone back and implemented additional tools on their machines to ensure that we're looking at roofs more closely. We're looking at the business more closely and going back and looking at the business on the books. And we and our agency force are highly focused on our retention, which we feel very good about in light of the necessary increases that are flowing through our book of business currently. I can go on. There's a ton of stuff. That's the best part about the job, Tom, is working on the strategy and the new things that the company is doing.
Tom Shimp: I appreciate the answers. And then congrats on the first strong first quarter.
Steve Donaghy: Thanks, Tom. Appreciate your time.
Frank Wilcox: Thank you.
Operator:  I am showing no further questions. I will now turn the call back over to the management for closing remarks.
Steve Donaghy: In closing, I'd like to thank our associates, consumers, agents and our stakeholders for their continued support of Universal. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.